Operator: Good day, ladies and gentlemen, and welcome to the Quarter Three 2012 Cabot Earnings Conference Call. My name is Sharon and I’ll be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I would like to turn the call over to Ms. Erica McLaughlin, Vice President, Investor Relations. Please proceed.
Erica McLaughlin: Thank you, Sharon. Good afternoon. I’d like to welcome you to the Cabot Corporation earnings teleconference. Here this afternoon are Patrick Prevost, Cabot’s President and CEO; Eddie Cordeiro, Cabot’s Chief Financial Officer; Dave Miller, General Manager of the Core Segment; Sean Keohane, General Manager of the Performance Segment; Fred von Gottberg, General Manager of the New Business Segment; Jim Kelly, Corporate Controller; and Brian Berube, our General Counsel. Last night, we released results for our third quarter of fiscal year 2012, copies of which are posted in the Investor Relations section of our Web site. For those on our mailing list, you receive the press release either by e-mail or fax. If you are not on our mailing list and are interested in receiving this information in the future, please contact Investor Relations. The slide deck that accompanies this call is also available in the Investor Relations portion of our website and will be available in conjunction with the replay of the call. I remind you that our conversation today will include forward-looking statements, which are subject to risks and uncertainties, and Cabot’s actual results may differ materially from those expressed in the forward-looking statements. A list of factors that could affect Cabot’s actual results can be found in the press release we issued last night and are discussed more fully in the reports we file with the Securities and Exchange Commission, particularly in our last Annual Report on Form 10-K. These filings can be found in the Investor Relations portion of our website. I will now turn the call over to Patrick Prevost, who will discuss the key highlights of the company’s performance for the quarter and the acquisition of Norit. Eddie Cordeiro will review the business segment and corporate financial details. Following this, Patrick will provide closing comments and open the floor to questions. Patrick?
Patrick M. Prevost: Thank you, Erica, and good afternoon, ladies and gentlemen. I’m pleased with our performance this quarter despite of challenging economic environment. Our continued focus on value pricing and margin expansion has enabled a 32% increase to adjusted earnings per share, as compared to the same quarter last year. While our rubber blacks volumes were unfavorably impacted by the macroeconomic environment in Europe and Asia, we continue to benefit from our value pricing initiatives and investments in yield and energy efficiency technology. In North America, we continue to see strength in certain segments such as the original equipment and off-the-road tire markets, but weakening consumer confidence is negatively affected the replacement tire market. In our other businesses, we saw higher sequential volumes in our performance segment and inkjet colorants business, supported by the new capacity we have brought online over the last few quarters. We also introduced a number of new products with unique performance attributes continuing to strengthen our portfolio. Our specialty fluids segment also had another strong quarter with the completion of a number of large jobs and geographic expansion into Asia. Delivering on our objectives is key focus for us. This includes capacity expansion, energy efficiency and yield technology investments. We are progressing well with our announced capacity expansion plans and the completion of these projects will provide significant volume leverage as demand recovers. As we discussed last quarter, there are number of expansions that have been completed, including the addition of rubber blacks capacity in Indonesia, fumed metal oxides and massive expansions in China and an inkjet expansion in the U.S. We anticipate the completion of future capacity additions by the end of calendar year 2012, including rubber black capacity in South America and Europe and a few metal oxides debottleneck in Europe. All of the rubber blacks projects will result in approximately 80,000 metric tons of new capacity. This will be in Indonesia, South America and Europe, and will be completed by the end of this calendar year. By the end of the following calendar year in 2013, we plan to complete additional rubber blacks capacity of about 140,000 metric tons mainly in China, but also in Europe. And we also have an efficient debottleneck of our specialty carbon black capacity in Europe. Along with the capacity expansion projects, we are also on track with our investments in energy efficiency and yield technology. We have put two new projects into production in Asia and Europe during our third quarter. And we’re excited about these new process technology investments as they address both our sustainability goals and our financial return expectations. They continue to position us as the low cost producer in most geographies. We have a very attractive portfolio of high-value growth and efficiency initiatives, which are progressing nicely. We review each capital project closely to ensure that we are utilizing our cash optimally. In order to progress all our high value projects, we’re forecasting capital expenditures for fiscal 2012 between $250 million and $275 million. The increase from our previously forecasted range of $200 million to $250 million is driven by the timing of spending for some of our significant investments such as the new rubber blacks site in China. In addition to our capacity expansions, we’re focused on developing new products to meet the changing needs of our customers. During the quarter, we launched a number of these new products and I will highlight a couple here. The first that I’ll talk about is in our performance segment where we launched a new fumed silica called CAB-O-SIL ULTRABOND 5760. This new material is a high performance surface treated fumed silica that maximizes adhesive performance particularly in epoxy formulations. The material can be used in adhesives for a wide range of industries including automotive, aerospace, construction, electronics. The fastest growing application is for structural adhesives used in vehicle construction, where adhesives replace traditional welding or riveting to bond two parts together. Our new business segment launched Transfinity XD MDF elastomer composite products also targeted to meet the critical demands of the transportation industry. These products are rubber compounds, which were specifically designed for using anti-vibration components in the automotive, aerospace, marine and rail industries. They provide the highest level of durability and enable new parts that are smaller, lighter and more reliable while tolerating higher temperatures. I will now spend a few minutes talking about the acquisition of Norit, which I’m pleased to announce we completed yesterday. Norit is the global leader in activated carbon and I’m very pleased to have Norit as a part of the Cabot team. The addition of Norit to our portfolio supports our ongoing transformation to a high margin less cyclical specialty chemicals company. We chose Norit because we saw the opportunity to combine with a successful highly profitable company in growing markets with products and processes that are similar to ours and with whom we could share our technical and business expertise. Norit is the great compliment to Cabot’s core strength and existing global footprint. Both companies have built reputations for being innovative and customer-focused supplier. From a manufacturing point of view, both companies have somewhat similar products and process technologies. The carbon black production process uses a liquid feedstock heated at extremely high temperatures with precise know-how to formulate particles with specific structure and surface chemistry. While the raw material is different, the process for producing activated carbon is quite similar. Also application development and technical service are key pieces for both Cabot and Norit as we deliver the offering for the markets we serve. These common operating platforms allow Cabot and Norit to share technology and engineering expertise and create even stronger businesses. Norit strategy fits well with Cabot’s vision to deliver earnings growth through leadership and performance materials. We’re uniquely positioned to support Norit’s growth in a number of areas. We intend to grow the company including into emerging markets like Asia and South America where Cabot has the experience of building and operating profitable businesses. In addition to meeting multiple customer challenges worldwide, Norit is uniquely positioned to capture the growth from the adoption of mercury removal for the coal-fired utility fleet in the U.S. With an assumption that only 50% of today’s existing coal-fired utility fleet adopts mercury removal. Growth in this end market is expected to be 30% per year for the next five to six years. Norit has a strong share in this end market. Its products are the benchmark and it is expected to participate significantly in this growth. Beyond the potential of the U.S. market, we also see large opportunities in countries like China and India, which have a vast coal based power industry. Outside of the mercury removal space, there is also a solid growth of 5% to 6% per year in other end markets such as water, food and beverage, and pharmaceuticals. We recently completed the long-term portion of the financing for this acquisition and we were able to secure $600 million of debt at highly attractive rates. This combined with our revolving credit facility gives us a very attractive blended rate of 2.6%, which is better than our original estimate. So, these low interest rates increased our expected accretion from this acquisition to between $0.40 and $0.50 per share in fiscal 2014. With the acquisition of Norit, we’re increasing our 2014 adjusted EPS targets for the company to a range of $4.95 to $5. Though the transaction will temporally reduce our adjusted return on invested capital, we are focused on returns and expect to deliver adjusted ROIC of at least 13% over time. In 2012, we’ve completed two significant portfolio moves. In January, we divested our Supermetals Business, and yesterday, we’ve completed acquisition of Norit. Both moves will help us deliver more consistent, more predictable earnings over the long-term. We aspired to be as transparent as possible in everything we do including how we report our results to our stakeholders. With the addition of Norit as a segment, we felt it was necessary to make some minor changes to the composition of our segments and give them names that are more reflective of what they represent or what they intend to achieve. Therefore we’re making the following changes to our reportable segments and we will start reporting in this way in our fourth quarter of fiscal 2012. Our core segment will be named Reinforcement Materials and consists of rubber blacks for use in tire and industrial rubber applications. Our performance segment will be renamed Performance Materials. The segment will continue to be comprised specialty carbons and compounds and few metal oxides for use in adhesive ceilings, toners, coatings, plastics, wiring cable and polishing slurry applications. Our new business segments and our specialty fluids segments will be combined into new segment named Advanced Technologies. This segment will include our inkjet colorants, our aerogel, security materials, elastomer composites and specialty fluids businesses. Finally, Norit will be reported as a standalone segment called Purification Solutions. This segment consists of activated carbons for use in the purification of water, air, food and beverage, pharmaceutical products, and other liquids and gases. These changes are designed to give our investors and other stakeholders’ better insight into our portfolio businesses, especially with the addition of the Norit business. As you can see, the company is continuing to progress against its long-term strategic and financial objectives and we look forward to the full integration of Norit. I’ll now turn it over to Eddie to discuss the third quarter financial results in more detail. Eddie?
Eduardo E. Cordeiro: Thanks, Patrick. For the third fiscal quarter, total segment EBIT from continuing operations was $109 million, which was $3 million higher than last year’s third quarter. The increase as compared to the prior year was driven by high pricing and improved product mix that more than offset lower volumes and higher costs with new capacity and spending to support for growth initiative. Sequentially, total segment EBIT decreased $14 million resulting from decreases in our core and specialty fluids segments as compared to the record second quarter performance. General unallocated expense, which is not part of our segment EBIT, decreased $18 million during the third quarter of fiscal 2012, as compared to the same quarter last year. The decline was primarily driven by lower raw material costs that resulted in a $15 million favorable comparison due to our LIFO accounting. Now, I will discuss the details at the segment level beginning with rubber blacks. During the third quarter of 2012, EBIT for the rubber blacks business increased by $2 million as compared to the third quarter of 2011. The increase was driven principally by higher margins resulting from higher prices and a favorable product mix. This margin expansion more than offset the impact of 9% lower global volumes and higher fixed manufacturing costs from lower utilization level. Sequentially, EBIT decreased $13 million, driven by 5% lower volumes. Volumes in the third fiscal quarter were unfavorably impacted by the weak economic environment in Europe and slowing growth in Asia. Despite the impact on volumes from the current economic environment, we continue our focus on margin expansion through value pricing and the investments in energy efficiency technologies. We are progressing our capacity expansions and are poised for volume growth when demand recovers. In the performance segment, EBIT decreased by $5 million as compared to the third quarter of 2011. The decrease was driven principally by higher costs from the startup of new capacity and an increased investment in commercial and marketing resources. These increases were partially offset by higher volumes. As compared to the third quarter of fiscal 2011, performance products volumes increased 4% and fumed metal oxides volumes increased 3%. Sequentially, EBIT increased by $3 million primarily from higher volumes. As compared to the second quarter of fiscal 2012, performance products volumes increased 4% while FMO increased 7%. We’re pleased to see the positive volume progression this quarter and we’re poised for growth from our new competitive capacity that has recently come online. Our value pricing initiatives and new product introductions are contributing to our solid performance and we remain confident in our new product pipeline. EBIT in our specialty fluids business increased by $8 million from the third quarter fiscal 2011. The increase was due to higher revenue related to the completion of larger and more complex jobs. Sequentially, EBIT decreased by $5 million principally due to a significant product sale during the second fiscal quarter of 2012 that did not repeat in the third quarter. Despite the quarter-to-quarter variability in specialty fluids, we continue to see a solid pipeline of projects and are winning business in geographic areas outside of the North Sea including recent jobs in India and Malaysia. Over the past year, we’ve increased prices across all our products, which have contributed to the businesses strong results. EBIT in the new business segment for the third fiscal quarter was $2 million below the same period last year. Segment EBIT declined due to lower volumes in our aerogel and inkjet colorants businesses as compared to the record revenue in the third quarter of fiscal 2011. Sequentially, we saw even improvement of $1 million. This was due to higher volumes in our inkjet colorants business as we utilize new capacity from our recent expansion at our Haverhill plant. Inkjet demand for the commercial and office printing industry continues to grow. We continue to receive validation of CEC superior performance in mining trials and in the coming year, we expect to reach additional milestones in our CEC Michelin partnership. We ended the quarter with a cash balance of $407 million, which was an increase of $41 million from March. Our strong operating results and lower networking capital were partially offset by capital expenditures of $59 million. During the third quarter, we also repurchased 175,000 shares for $6 million and increased our quarterly dividend from $0.18 per share to $0.20 per share. We recorded a net tax provision of $16 million for the third quarter. This included a benefit for tax related certain items of $4 million. Our operating tax rate on continuing operations for the third quarter was 25% and we anticipate the operating tax rate for fiscal 2012 to be between 25% and 26%. And I’ll now turn the call back over to Patrick.
Patrick M. Prevost: Thank you, Eddie. We are cautious about the near term due to the economic uncertainty in Europe and slowing growth in other parts of the world. As such we remain focused on factors of performance that are within our control. Our value pricing initiatives continue to be successful. And we’re confident that we will deliver on our other objectives to drive performance improvement. A few examples, new and innovative product introductions that will help us differentiate offering to our customers. Implementation of yield and energy efficiency technologies, which will continue to reduce our costs, the build of new efficient capacity, which will provide significant volume leverage when demand recovers, and finally the integration of Norit, which allows to participate in the high-growth sectors of air and water purification, as well as food and beverage, pharmaceutical, and catalyst industries. With the addition of Norit, we increased our adjusted EPS target for 2014, between $4.90 and $5 per share and remain focused on improving our return on invested capital over time. Our portfolio of businesses has been strengthened with Norit, the global leader in activated carbon, and continues to position us as one of the top Tier specialty chemicals and performance materials companies. Well, thank you very much for joining us today, and I will turn the call back over to the operator for the Q&A session.
Operator: Thank you. (Operator Instructions) First question comes from Ivan Marcuse, KeyBanc.
Ivan M. Marcuse – KeyBanc Capital Markets: Thanks for taking my question today.
Patrick M. Prevost: Good afternoon, Ivan.
Ivan M. Marcuse – KeyBanc Capital Markets: If you look at the Rubber Blacks business, I understand there is some seasonality to it and then you’re also seeing some slowdown, is there going be any, would you still expect improvement in year-over-year operating profit margins going to the fourth quarter and going forward, would you expect some startup cost in there to come into the fourth quarter and first quarter that may impact profitability, and how much would those startup cost be?
Patrick M. Prevost: So, as you look forward, as you mentioned, we’re experiencing a bit of a slow period and this is started during our third quarter or at the end of that third quarter. We’ve been doing quite a bit of work to understand what’s going on. I’ve been speaking to a lot of our customers and it looks like a lot of the slowdown is attributable to the replacement tire business. I’ve mentioned that earlier during the presentation that was especially true in North America, but we’re seeing that elsewhere as well. And what we think is going on is that, people are delaying their purchases of tires and the level of that or the total level of sales right now seems to reach to a point where we are questioning, continued destocking, I think we are bottoming out in terms of where the market is going and we believe that there should be a recovery coming fairly soon. So, that is with regard to the market environment. With regard to our own situation as you saw through the presentation we are continuing to focus on capacity additions as you may remember we restructured our operations in carbon black in the ‘08, ‘09 period and we are now repositioning some of that capacity, we’re bottlenecking on existing sites, we’re focusing on our product mix in a way that we haven’t in the past. And that will result in some addition of course in fixed cost, but because we are looking at debottlenecks or expansions on existing sites, they will be quite limited in terms of their impact. The only new site really that we’re considering, all that we have actually started building is in China and that is the either site that we’re building in Ching Tai. So…
Ivan M. Marcuse – KeyBanc Capital Markets: I’m sorry.
Patrick M. Prevost: Yeah. So, all in all, I think I would say, we are standing in a good position right now with a performance in rubber blacks considering the volume environment and we are very well prepared in terms of picking up steam as soon as the market recovers.
Ivan M. Marcuse – KeyBanc Capital Markets: So, do you expect profitability to continue its year-over-year increasing trend?
Patrick M. Prevost: I think in the very short-term, I think there is of course the uncertainty of the summer months. So when I mention that there would be recovery, I think there is still uncertainty in that respect which is perhaps into September, October. And secondly, we’ve seen feedstock costs decline in the last few months, and although we have structured our contracts to be very much reflective of the feedstock costs as quickly as possible, it could be that we could see some minor effects from that feedstock cost duplication. So it will be a very short-term.
Ivan M. Marcuse – KeyBanc Capital Markets: In the Performance Segment, they also tend to have some cyclicality to it. Are you seeing any slowing down there? I saw that the volumes are up year-over-year, so do you expect that to continue or is there also some reason to be cautious, at least there is some reason to be cautious at least in the very near-term in that segment.
Patrick M. Prevost: I think we’re – let me tell you that we have the volumes for July, so the situation right now is that we see no further deterioration from the third quarter into July, things have stabilized. But I would say that when you look at the news around the macroeconomic environment of course it’s very difficult to make any predictions at this time.
Ivan M. Marcuse – KeyBanc Capital Markets: Great. And then when you look at Norit is there any seasonality to the revenues or does it tend to be on a quarter-to-quarter basis pretty consistent?
Patrick M. Prevost: I think as you can actually see from some of the documents or the figures we’ve published or that Norit published, they had very strong performance in the ’08, ‘09 period. So their business seems to be much less dependent on macroeconomic factors. We do however see that in the utilities business, so the cleanup of air emission from utilities, weather plays a factor and mild winters or cool summers tend to have a bit of a dampening effect on volume.
Ivan M. Marcuse – KeyBanc Capital Markets: Got you. And with Norit being acquired, what do you expect your interest expense to go to. I understand the bonded rate gets to I guess $22 million, but is there anything else in there or should you expect interest to increase $4 million to $5 million a quarter?
Patrick M. Prevost: Eddie, would you like to…
Eduardo E. Cordeiro: Yeah Ivan, that’s approximately right. We’re looking at about $22 million for the year.
Ivan M. Marcuse – KeyBanc Capital Markets: Great. And then with your corporate expense, how much will that increase or that not really have much of an impact?
Eduardo E. Cordeiro: You’re talking about sort of unallocated corporate-type costs?
Ivan M. Marcuse – KeyBanc Capital Markets: Yes.
Eduardo E. Cordeiro: We’re sort of in the amidst of looking at the business and understanding what the opportunities are there, Ivan. I wouldn’t expect much of an increase there.
Ivan M. Marcuse – KeyBanc Capital Markets: Great, and then my last question, I will get back into the queue. With the way you calculated now as the acquisition is completed, where is your return on invested capital fall to and where would you expect it to go to and then how long do you think it will take you to get to that – back to that 13%, 14% range that you were at?
Patrick M. Prevost: We’re still trying to identify the exact number, but clearly with the acquisition and its size, it has and will have a negative effect on our ROIC. It doesn’t change our focus on this metric. I’ve introduced that when I joined the company in 2008, and we’ve done very well in that respect over the years. Our objective is to return to the numbers that we’ve indicated and I think it will take us, I’d say between two and three years to get back to being above 13%.
Ivan M. Marcuse – KeyBanc Capital Markets: Great. Thank you for taking my questions.
Patrick M. Prevost: Thank you.
Operator: Thank you. The next question is from Saul Ludwig, Northcoast Research.
Saul H. Ludwig – Northcoast Research Partners LLC: Hi, good afternoon, guys.
Patrick M. Prevost: Hi, Saul.
Saul H. Ludwig – Northcoast Research Partners LLC: A question on rubber blacks, sequentially your revenue fell 3%, your volume fell 5%, so that meant your sort of price per unit went up slightly on a sequential basis. And given that you have the contract pricing that you’ve alluded to in the past, in place I would assume that your variable margin average, your price relative to raw material cost would have certainly stayed fairly constant. But to have a $13 million sequential decline in profit when revenues decline only $17 million, something else must have had a fairly large impact on that sequential profitability decline. Was it fixed cost absorption, was it maintenance? Could you shed some clarity on helping us understand why the ratio of profits or revenues was so dramatic?
Patrick M. Prevost: Thanks Saul. I will ask Dave Miller to answer that question. Dave?
David A. Miller: Saul, there are few moving parts in there. Generally, we can assume that our unit margins are quite consistent quarter-to-quarter. I think the only thing I would add to that is if you’re thinking forward, Patrick made a general comment about the fact that we’ll have a bit of – we’re working through a bit of higher cost inventory in the near-term. And that will become a bit of factor here in the very near-term. But it is only marginal impact.
Saul H. Ludwig – Northcoast Research Partners LLC: So getting back to the third quarter Dave, if the unit margins were consistent third to fourth quarter, what were the other forces that caused the profit to be so dramatic?
Patrick M. Prevost: Fixed costs were down a bit and that I think is – I’m sorry we’re up a bit which I think gets to your point.
Saul H. Ludwig – Northcoast Research Partners LLC: It was the unabsorbed overhead because you ran the finance less hold a factor.
Patrick M. Prevost: Only marginally.
Saul H. Ludwig – Northcoast Research Partners LLC: Okay. And would you say that in the fourth quarter we’re going to have this effect of high cost inventory working through the system, and last year by the way in the fourth quarter you had I think was $10 million of higher than normal maintenance cost. So if we think about the high cost inventory as being sort of a headwind is the maintenance expenditures likely to be a compensating tailwind.
Patrick M. Prevost: Fourth quarter tends to be a quarter of higher maintenance for us. And so that will be factor in fourth quarter as well.
Saul H. Ludwig – Northcoast Research Partners LLC: Same degree as last year?
Patrick M. Prevost: Let’s say, quarter – fourth quarter, fourth quarter not quite the same grade.
Saul H. Ludwig – Northcoast Research Partners LLC: A little less. Okay, great. Thanks. Patrick, on Norit or maybe Eddie, in the fourth quarter we you made this acquisition, Norit had a certain margin expectation, and you’re going to have it in your results for two months. What other costs like inventory step up, fuel cost, help us understand the impact Norit might have in your fourth quarter.
Patrick M. Prevost: Go ahead, Eddie.
Eduardo E. Cordeiro: Sure. So, on the two items that you specifically mentioned, we plan to call out transaction cost, which we did in part in the third quarter. We will also call those out as a certain item in the fourth quarter to take it out of the operating results. And on the inventory step up, we expect that to be in the order of $18 million and that will play out over the next six months, but we also intend to call that out since it’s really a one-time item. So when we take those out, our view is that Norit will probably contribute an additional $0.04 or so of EPS for the remainder of the fiscal year for us, net of the additional interest.
Saul H. Ludwig – Northcoast Research Partners LLC: $0.04 including the interest expense? 
Eduardo E. Cordeiro: Including the interest expense, yes.
Saul H. Ludwig – Northcoast Research Partners LLC: Right, and excluding these certain items. And then finally, Patrick in the spirit of transparency, putting the, this is a two part question, new business as it was formally constituted was expected to contribute I think $15 million, $20 million or $10 million, $12 million in profit towards your 2014 goals yet. In 2010, new business made I think $15 million last year, it dropped to $9 million, this year it’s looking like its breakeven. So kind of, what’s going on in new business to see these numbers continue to head south. And then by combining Specialty Fluids with that group isn’t that moving in the opposite direction of transparency?
Patrick M. Prevost: I think so. First of all on the transparency side, I think we will and could be transparent, it’s clearly our objective. The aggregation of businesses is one that, that is also related to how many segments, we can and should be reporting. I think there’s no way that we continue to report a segment with $2 billion in sales and a segment with $70 million in sales and put it on the same in way, the same way. So, we’ve taken the decision to move towards an aggregation that is more in line with the balance of the businesses and their impact to the company. With regard to new businesses, of course we’re not happy with the developments there and one of the areas that has been most disappointing is the aerogel business, where we’ve not made the progress that we anticipated and unexpected. So, there’s quite a bit of work going on within the aerogel team to change its pack and move things in a different direction. The other factor within the new businesses in CC, where we’re still somewhat dependent on the development of the mission relationship, and this has been taking a little longer than we would have liked, again. But as Eddie mentioned earlier, we believe that we should be able to provide much more information and see also significant impacts in terms of profitability towards the end of this calendar year, early next calendar year.
Saul H. Ludwig – Northcoast Research Partners LLC: Within the new business will you continue to provide us at least the earnings contribution. I understand your point about from a revenue standpoint that makes good sense. Will you continue to provide a earnings contribution of Specialty Fluids going forward?
Patrick M. Prevost: We haven’t decided that. So we’ll be back on that.
Saul H. Ludwig – Northcoast Research Partners LLC: We would encourage you to do so. Thank you, Patrick.
Patrick M. Prevost: Thank you, Saul.
Operator: Thank you. The next question is from the line of John Roberts, Buckingham Research.
John E. Roberts – Buckingham Research Group, Inc.: Good afternoon.
Patrick M. Prevost: Good afternoon, John.
John E. Roberts – Buckingham Research Group, Inc.: The 9% volume drop in rubber black, would you call all of that macro or its part of that purposeful exiting of lower margin volume.
Patrick M. Prevost: I would call that mostly macro. We have over the last few years been working on product mix and customer segmentation, meaning that we have been migrating towards the higher value product portfolio. But I think if I reflect on your question, I think, based on our pretty good market knowledge, we do not think that we’ve actually lost any market share.
John E. Roberts – Buckingham Research Group, Inc.: Okay. And should we think about some more capacity rationalization at some point here as you bring on additional capacity with your volumes already down such a large amount?
Patrick M. Prevost: Yeah, so I think a lot of the capacity rationalization has occurred in ‘09 and ‘10, and we at this stage believe that we have the right assets in the right places. And most of the investment that’s going on right now is, one around adapting or expanding or leveraging the assets we have to get better performance and more potential out of those that we have. And then secondly increasing our ability to operate at better yields and lower cost, that’s a lot around energy management and feedstock, and process technology. So, I would say at this stage there really no further restructuring project on the docket.
John E. Roberts – Buckingham Research Group, Inc.: It looks like the plants actually turndown their operating rates fairly well that the fixed costs don’t kill you as you start to get down to below 90% operating rates down into the 80s or even 70s on some plants.
Patrick M. Prevost: Well the margins are holding up and we’ve clearly positioned that well, and we understand our business much better now than we did. I would also say that we have multiple units on each side and we have ability to adjust operating rates in a way that it does not have a negative impact.
John E. Roberts – Buckingham Research Group, Inc.: Okay. Thank you.
Patrick M. Prevost: Thanks.
Operator: Thank you. Next question is from the line of Laurence Alexander, Jefferies.
Lucy K. Watson – Jefferies & Co., Inc.: Hi, this is Lucy Watson on for Laurence today.
Patrick M. Prevost: Hello, Lucy.
Lucy K. Watson – Jefferies & Co., Inc.: A couple of questions on trends in Rubber Blacks, you’ve just referenced the effort to move towards higher value products offerings, has volume for your higher value products been better than or held up better than those from other products that you are now focused on?
Patrick M. Prevost: Yeah, certainly what we’re seeing is as you look at the range of products in the carbon black system, we’ve seen the high end products behave in a much more robust way in terms of their reaction to the macroeconomic environment.
Lucy K. Watson – Jefferies & Co., Inc.: Okay. And just looking at the regional volume trends, it looked like volumes were actually, the rate of change was actually getting slightly better in Southeast Asia, but worse in every other region, particularly on China and Europe, I’m just wondering in those particular areas, how much you would attribute to destocking versus a clear shift in the underlying macro-dynamics?
Patrick M. Prevost: Guess what? I think that if we look at China, we’ve seen some decline in the demand for carbon black, but it’s been fairly muted in terms of that decline, some of it, I think is attributable to the lower opportunity to export tires to the European market that is fairly depressed. In Southeast Asia on the contrary we were seeing the local market continuing to be very strong and picking up and we believe that will continue to support our position in Southeast Asia.
Lucy K. Watson – Jefferies & Co., Inc.: Okay. And on the Norit acquisition, it sounds like a lot of the one-time accounting issues are going to be called out as standalones and not part of ongoing, so getting to the $0.48 to $0.50 of accretion by 2014 should we assume that will be fairly evenly spread out in terms of growth or will there be certain chunks of benefit or will it be more lumpy?
Patrick M. Prevost: I’m not sure, if I understand the question, Lucy. Do you mind repeating it?
Lucy K. Watson – Jefferies & Co., Inc.: I guess, are you factoring in constant growth rate for Norit or do you expect business to be layered on in more lumpy fashion through, to get to your accretion target by 2014.
Patrick M. Prevost: So, over the next few years how the accretion will develop, I think we actually provided some numbers for 2013, we’ve indicated the EPS accretion to be between $0.30 and $0.35 in fiscal 2013, and then $0.48 to $0.50 in fiscal 2014 and of course, you have to understand, we closed on the business yesterday. So we’re still getting very much up to speed, although we have a very good understanding of the business, we need to get much closer and that is happening as we speak.
Lucy K. Watson – Jefferies & Co., Inc.: Okay. And just one last one to reach the prior $4.50 target on the underlying business, do your planned capacity additions are need to reach full utilization for you to get there?
Patrick M. Prevost: No actually, that was one of the things we mentioned during our last investor meeting was that the $4.50, that we had indicated as a target for the business ex-Norit was based on a kind of a mid cycle economic environment, we did not include any win in our sales to achieve that.
Lucy K. Watson – Jefferies & Co., Inc.: Thank you.
Operator: Thank you. The next question is from the line of Jeff Zekauskas with JPMorgan.
Jeffrey Zekauskas – JPMorgan: Hi, good afternoon.
Patrick M. Prevost: Good afternoon, Jeff.
Jeffrey Zekauskas – JPMorgan: What are the dimensions like in specialty blacks, what are the July volumes look like there. Did they resemble carbon black or did they not resemble carbon black?
Patrick M. Prevost: I would say, as I mentioned earlier, we have been, we’ve just had our July volumes come through and…
Jeffrey Zekauskas – JPMorgan: Sure.
Patrick M. Prevost: And we have not seen any deterioration in July versus the past quarter, so I would say a stable month and I would say that there is nothing special with regard to those volumes.
Jeffrey Zekauskas – JPMorgan: So the way that you’ve described carbon black, I understand that is whatever happened in July was weaker than what happened on average during the June quarter?
Patrick M. Prevost: No. I think that may have been misunderstood here, what I said is that we didn’t see any further deterioration in July versus the third quarter.
Jeffrey Zekauskas – JPMorgan: Versus the third quarter, okay. So, in you’re speaking on the rate of change on year-over-year basis?
Patrick M. Prevost: This was sequential.
Jeffrey Zekauskas – JPMorgan: This was sequential, okay.
Patrick M. Prevost: Yeah.
Jeffrey Zekauskas – JPMorgan: So, normally your volumes in carbon black fall off in the September quarter? And what is it normally, is there a normal volume fall off between the June and the September quarter in carbon black?
Patrick M. Prevost: I would say that it’s not a very large effect, but we do see some seasonality due to the European holiday season and as you know a lot of the manufacturers in Europe close their plants in August, and most likely, we’re going to see that this year to perhaps even a greater extent.
Jeffrey Zekauskas – JPMorgan: And then maybe a question for Ed, will we see pro forma revenues by quarter for Norit anytime soon as far as their history goes and operating profits and some sort of 8-K that relates to Norit or no?
Eduardo E. Cordeiro: Jeff, so what’s been filed has been the pro forma of financials. There was an 8-K filed in late June, which was our first view of what the purchase accounting would look like and what the pro forma’s would look like. And then once we finalized the purchase accounting, we’ll let you know what the final numbers look like.
Jeffrey Zekauskas – JPMorgan: Okay. And then lastly in your fumed metal oxide business, the merchants have held up relatively well on sequential basis. Do you see sort of further margin progression or margin stability in that area?
Patrick M. Prevost: Sean, would you like to take the question?
Sean D. Keohane: Sure. Yeah, Jeff, I think our outlook here is for certainly margin stability, and you’ve seen that play out on the year-over-year and sequential comparison. So, I think there is no reason to think differently. Now our objective of course is over time to enhance those margins through introduction of new products as well as the adoption of new competitive capacity like we brought on in China and that will be our focus.
Jeffrey Zekauskas – JPMorgan: Okay. Thank you very much.
Operator: Thank you. The next question is from the line of David Begleiter, Deutsche Bank.
David I. Begleiter – Deutsche Bank Securities Inc.: Thank you. Good afternoon.
Patrick M. Prevost: Good afternoon, Dave.
David I. Begleiter – Deutsche Bank Securities Inc.: Patrick, just on the two new energy and yield projects you mentioned, are you able to quantify the benefits of those two projects and once these projects are completed, are there additional opportunities available on most various sites for these types of projects?
Patrick M. Prevost: So, we’ve indicated in the past that the energy investments that we make and here I’ll talk about specifically energy tend to cost, of course they are very different side-by-side, but they tend to cost around $20 million to $30 million a year of capital, sorry. And we look at returns in the 15 to 20 IRR on each of these projects, so that kind of gives you a sense for the potential impact on the company. The other work that we’re doing is, also has an impact with regard to energy, but tends to be more driven by yield and process technology interests and here we’ve got project in motion. We do not provide more specifics in terms of what they are and what their returns are about. Well, let me just tell you that they are higher than the traditional energy since their returns, and there is the possibility of rolling out that technology to most of our other sides over time. So, this is going to be continued work on our side to bring these technologies and get the energy efficiency that we can achieve to be pervasive across the asset portfolio, but we of course need to pace the capital spending here, but these are very high return projects that we’re going to pursing.
David I. Begleiter – Deutsche Bank Securities Inc.: Understood and Pat just on the new capacity projects, are these completely designed to gain share in those regions or grow at the market going forward?
Patrick M. Prevost: I would say that they are going to be about growing with the markets in to a great extent, although there maybe areas back to the product mix statement earlier where we are actually building reactors that are going to be making products that are unique in a certain way and that where we were actually looking at capturing more than our fair share.
David I. Begleiter – Deutsche Bank Securities Inc.: And then lastly Patrick, in your Rubber Blacks portfolio, what percentage do you think is in the higher margin portion of the overall market?
Patrick M. Prevost: Dave?
David A. Miller: Yeah, I would say about 30%.
David I. Begleiter – Deutsche Bank Securities Inc.: And was it a year ago perhaps David.
David A. Miller: It’s growing from about a quarter. And it will be growing even more into next year.
David I. Begleiter – Deutsche Bank Securities Inc.: Thank you very much.
Operator: Thank you. The next question is from the line of John Roberts, Buckingham Research.
John E. Roberts – Buckingham Research Group, Inc.: Thank you. The LIFO benefit that you had in the quarter, does that start to go away with adding in north in the inventories step-up to the higher value and the diversity of the feedstock’s now or will you still have these LIFO pluses and minuses quarter-to-quarter going forward?
Patrick M. Prevost: John, I suspect we will still have the same type of LIFO issues given the size of the carbon black has been.
John E. Roberts – Buckingham Research Group, Inc.: Okay. Thank you.
Operator: Thank you. The next question is from the line of Saul Ludwig, Northcoast Research.
Saul H. Ludwig – Northcoast Research Partners LLC: Just a quick follow-up. Patrick in the volume trends in rubber black, you said that the July was trending level with what you saw in the third quarter, but you expected the seasonal influences of Europe in August and September to actually then bring about the normal seasonal downtrend from the third to fourth quarter, and that downtrend might be a little more pronounced this year because of the European weakness, did I get that right?
Patrick M. Prevost: Yeah, you got that right.
Saul H. Ludwig – Northcoast Research Partners LLC: Okay. Second question on the high cost inventory that they will have to flow through in the fourth quarter versus if raw material cost had stayed stable, what order of magnitude do you think we’re talking about, is that $5 million headwind, is that $10 million headwind. I know you can’t be précised, but what sort of plan is it on?
Patrick M. Prevost: Yeah, it will be, the way we look at it right now, we’ve eliminated the lag to great degree. So here, the effect is going to be much lower than what it could have been in the past. So, I would estimate it to be in the several millions of dollars, not much more.
Saul H. Ludwig – Northcoast Research Partners LLC: Several, that means 3 or 4?
Patrick M. Prevost: Single millions of dollars.
Saul H. Ludwig – Northcoast Research Partners LLC: Terrific, thank you very much.
Operator: Thank you. And the next question comes from the line of Christopher Butler, Sidoti & Company.
Christopher W. Butler – Sidoti & Co. LLC: Hi, good afternoon, everyone.
Patrick M. Prevost: Hi, Chris.
Christopher W. Butler – Sidoti & Co. LLC: I was hoping you might be able to give us an idea of how Norit did and for their June quarter understanding that spring time is important for water treatment?
Patrick M. Prevost: So, as we were getting of course visibility on the financials, so this is calendar year of course they are operating under. And I would say that their calendar year first six months were somewhat in line with our calendar year 2011, which is of course lower than we expected, but we had a mild winter and that had an effect on their growth potential. We are expecting a higher run rate in the second half of the calendar year 2012 and we we’re looking at catching up in that respect.
Christopher W. Butler – Sidoti & Co. LLC: And looking at your performance segments, we almost have a year in the books now and the margin in that business has taken a step back from last year. I know from previous calls, there was talk about fixed cost absorption, but you’d seem confident that volumes would be able to make that up pretty quickly. Why haven’t we seen that yet and is, can we get back up to that 16% threshold for this business quickly?
Eduardo E. Cordeiro: Yeah, Chris. I think you’re referring to the EBIT margins, which of course we’ve been talking about now, I think for the last few quarters needing to absorb some higher fixed costs. And the volumes have come a little bit more slowly than expected given some of the uncertainties in the macro environment, but we’re feeling more reassured seeing the sequential growth in volumes in the business there from Q2 to Q3. And so we’re still comfortable with the position and having added the capacity and the additional cost.
Christopher W. Butler – Sidoti & Co. LLC: I appreciate your time.
Operator: Thank you. I’d now like to turn the call over to Patrick for closing remarks.
Patrick M. Prevost: So, I wanted to thank you for joining our call today. We’re on track with execution of our strategy and we’re seeing our financial results at a higher level and a fairly robust state considering the macroeconomic environment, so we’re confident about the future and we’re looking forward to speaking to you next quarter. Thank you very much.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day.